Operator: Good morning, ladies and gentlemen, and welcome to the Canadian Natural Resources Q2 2017 Earnings Results Conference Call. After the presentation, we will conduct a question-and-answer session. Instructions will be given at that time. Please note that this call is being recorded today, August 3, 2017, at 9 a.m. Mountain Time. I would now like to turn the meeting over to your host for today's call, Mark Stainthorpe, Director, Treasury and Investor Relations of Canadian Natural Resources. Please go ahead, Mr. Stainthorpe.
Mark A. Stainthorpe - Canadian Natural Resources Ltd.: Thank you, Heidi. Good morning, everyone, and thank you for joining our conference call, where we will discuss our operational and financial results for the second quarter of 2017 and provide an update regarding our ongoing projects and operations. With me this morning are Steve Laut, our President; Tim McKay; our Chief Operating Officer; and Corey Bieber, our Chief Financial Officer. Before we begin, I would like to refer you to the comments regarding forward-looking information contained in our press release and also note that all amounts are in Canadian dollars and production and reserves are expressed as before royalties, unless otherwise stated. With that, I'll now pass the call over to Steve Laut. Steve?
Steve W. Laut - Canadian Natural Resources Ltd.: Thanks, Mark, and good morning, everyone, and thank you for joining the call this morning. The strength of our well-balanced and diverse portfolio, combined with Canadian Natural's ability to effectively and efficiently execute, continues to deliver with a strong second quarter. In Q2, cash flow was strong and exceeded capital expenditures by CAD 800 million, excluding the acquisition of the Athabasca Oil Sands Project, reflecting the superior cash flow capacity of our asset base. In Q4, with Horizon Phase 3 on stream, we target a strip pricing deliver CAD 1 billion of cash flow over capital requirements, a number that will grow in Q1 2018 when Horizon Phase 3 is on for a full quarter and the Horizon turnaround is behind us. Q2 production was up 16% over Q2 2016 and up 4% over Q1 2017. In June, we achieved a record production volume of over 1 million BOE a day, impressive growth considering the difficult commodity price environment for the last two and half years and even more impressive considering we underspent cash flow by CAD 800 million in Q2. Our focus on safe, reliable, effective and efficient operations, while minimizing our environmental footprint, continues to payoff. Canadian Natural has grown our production and, at the same time, effectively lowered our cost structure across the board. As you've all seen in the press release, we've lowered our capital spending forecast for 2017 and, at the same time, increased oil production guidance, reflecting the strength of our assets and our ability to execute. In addition, Canadian Natural has also taken significant steps to reduce our environmental footprint. Canadian Natural is committed to reducing our greenhouse gas emissions and we're delivering meaningful results. Since 2012, we reduced our methane emissions in our conventional and thermal operations by 35%, well on the way to achieving the 45% methane emission reduction target proposed in the upcoming methane regulations in Alberta. In addition, we've invested significant capital to capture and sequester CO2. We have CO2 capture and sequestration facilities at Horizon, our 70% interest in the Quest Carbon Capture and Storage facilities at Scotford, and the capture and sequestration facilities at the North West refinery when it's up and running in 2018. As a result, Canadian Natural will be conserving (sic) [capturing] roughly 1.6 million tonnes a year of CO2, equivalent of taking 303,000 vehicles off the road, making Canadian Natural the third largest owner in the oil and gas sector of CO2 capture and sequestration capacity in the world and the fourth largest of all industries in the world, based on data from the Global Carbon and Capture Institute (sic) [Global Carbon Capture and Storage Institute]. Canadian Natural is committed to reducing greenhouse gas emissions and is a leader in carbon capture and sequestration. Importantly and it is well-known is Canadian Natural's return on capital focus. That focus is also paying off with adjusted earnings up 20% in Q2 over Q1, impressive considering production increased 4% quarter-to-quarter. A major driver of our strong Q2 numbers is Horizon execution. At Horizon, production continued to exceed nameplate capacity of 182,000 barrels a day with Q2 production at 190,837 barrels a day as we continue to utilize pre-built Phase 3 capacity completed with Phase 2b. Horizon operating costs were also excellent and consistent with Q2 costs at $22.09 a barrel, down 18% over Q2 2016 and setting us up to meet our target of at or below $20 a barrel once Phase 3 is on stream and lined out. Horizon Phase 3 is essentially complete with some heat tracing and installation work remaining. The Phase 3 tie-in will occur during the September turnaround. Once Horizon Phase 3 is on stream, we'll bring Horizon to the 250,000 barrel a day mark. As a result, the size, sustainability of our cash flow will take another step change upward. The acquisition of the Athabasca Oil Sands Project is also a significant step change upward and we're now more robust and our sustainability becomes even stronger. The transition of operatorship at the Athabasca Oil Sands Project has gone very well with no hiccups in operations and the teams of the Jackpine and Muskeg River mines delivering record production performance in June at 202,300 barrels a day and July of 209,300 barrels a day of SCO. In today's commodity price world, long-life, low decline assets are very valuable and give Canadian Natural a competitive advantage. Reservoir risk is low to non-existent and the scale of these operations matters, allowing Canadian Natural to leverage technology and use continuous improvement processes to maximize utilization, reliability and deliver ever increasing effective and efficient operations. In addition, we're able to use Canadian Natural's size to drive economies of scale across all our businesses. In our view, Horizon and the Albian Oil Sands mining and upgrading operations are very effective and combined for long-life, notifying nature of the assets with no reservoir risk make Horizon and Albian competitive with any oil play in the world. The impact of long-life, low decline assets on our sustainability should not be underestimated. The larger portion of Canadian Natural's asset base being long-life, low decline assets, our average corporate decline rate is targeted to drop to 9%. As a result, our maintenance capital to hold production flat is significantly less compared to a typical E&P company, making Canadian Natural more robust and generating more free cash flow. The size, scale and diversity of our assets matters in today's world, allowing Canadian Natural to leverage our infrastructure and economies of scale to drive effective and efficient operations. Clearly, Canadian Natural is in a very strong position. Canadian Natural has a unique combination of asset base strength, diversity and balance, combined with our strategy and competitive advantages, effective capital allocation and a management team that is more aligned with shareholders than any of our peers, allows us to deliver the best of all worlds. Delivering the best of all worlds means delivering sustainable production and sustainable free cash flow from our long-life, low decline assets that are very resilient to price volatility. It also means delivering high returns from Canadian Natural's large, high-quality inventory of low-capital exposure projects in primary heavy oil, natural gas, and light oil in Canada and Côte d'Ivoire, which provides significant capital flexibility, quick payouts, and higher return on capital, particularly where we can leverage our infrastructure advantage to keep costs low. Canadian Natural may be the only company in our peer group that has the quality in both asset types, the technical and operational expertise to execute in both asset types, and to deliver effective and efficient operations, and, importantly, the discipline to effectively allocate capital, to grow production and maximize cash flow. The strength, size, and power of both asset types, combined with effective capital allocation, makes Canadian Natural very robust and maximizes cash flow. A key component of Canadian Natural's strategy is to balance and optimize the allocation of cash flow to maximize value for shareholders. We strive to balance and optimize what we call the four pillars of cash flow allocation, balance sheet strength, returns to shareholders, resource development, and opportunistic acquisitions. How we balance the pillars depends on where we are in the commodity price cycle, where we are in our transition to long-life assets and other potential opportunities. At all times, the primary goal of balancing the four pillars is to maximize shareholder value. As you can see, Canadian Natural strengths and strategies are intact and we're effectively executing. Canadian Natural is in a great position and we have demonstrated that we are more robust and sustainable. As a result, Canadian Natural is a unique E&P company. And, with that, I'll turn it over to Tim for an update on operations. Tim?
Tim S. McKay - Canadian Natural Resources Ltd.: Thank you, Steve. Good morning, everyone. I will now do a brief overview of our assets and talk to our 2017 second quarter results. Starting with North American natural gas, our second quarter production of 1.603 Bcf was slightly down from our Q1 2017, but below our expectations, as the quarter was impacted by the poor reliability at a third-party plant in British Columbia. At this facility, we only produce 52 million cubic feet per day of natural gas sales, well below our estimate of 88 million cubic feet, which was less than our Q1 average of 100 million a day. On June 6, the plant was, once again, shut down and only returned to service July 28 at restricted rates of approximately 100 million cubic feet per day, well below our capacity of 170 million cubic feet per day. There is also a planned turnaround for September 11 to October 9. As a result of this continued poor reliability, we now target Q3 forecast for this facility at 68 million cubic feet per day. And we have reflected it in our overall Q3 guidance of 1.65 Bcf to 1.71 Bcf per day and our yearly guidance has also been revised to 1.655 Bcf to 1.705 Bcf per day. After the planned turnaround in September, we're targeting better reliability to the end of 2017. In Q2, we drilled five net gas wells. It was a small, focused program that targeted low cost tie-ins to our owned and operated infrastructure with all the wells targeted to be on production in Q3 this year. North America natural gas operating costs were CAD 1.17 for Q2 2017, which was comparable to Q2 2016. Our North American light oil and NGL production for Q2 2017 was approximately 90,800 barrels a day, an increase of approximately 1% from Q1 2017. In all areas, we're continuing to optimize water floods and we've continued to improve our operating cost, which were comparable to Q1 2017 at CAD 13.98 per barrel. In Q2, we drilled nine net wells. Overall program costs are in line and all wells are targeted to be completed and on stream in Q3. Offshore Africa production for Q2 was 20,480 barrels, decrease from Q1 2017 of approximately 9%, primarily a result of the planned turnaround at Espoir in the quarter. CDI operating costs were CAD 17.27 per barrel for Q2, while the overall operating cost was CAD 32.39 per barrel, including Olowi. In the North Sea, we continue to leverage our ability to deliver effective and efficient operations by improving reliability, optimizing the water floods, enhancing production capacity. In Q2 2017, we averaged 26,304 barrels, which is increase of 14% from Q1 2017, average of approximately 23,000 barrels a day, as a result of workover activities and a small 1.8 net well drilling program coming on stream in the quarter. Murchison decommissioning was on-time, on budget and essentially complete with the only milestone left to complete is the abandonment of one subsea well. At Ninian North platform, we seized production on May 18 and have started the well abandonment and decommissioning activities. Operational improvements, combined with higher volumes, help reduce our operating costs in the North Sea, which are down 22% from Q1 2017 to CAD 28.86 per barrel. International Q3 production guidance is 41,000 to 45,000 barrels a day. Our heavy oil production was 89,345 barrels for Q2 2017, down from Q1 of 94,803 as expected. During the second quarter, we only drilled 39 net wells from a very large inventory. Results have been very good with the average production of approximately 50 barrels per day per well. The program is very robust economically, as our drilling, completion and facility costs have been very stable with comparable costs to 2015. In heavy oil, we continue to focus on cost control and driving effectiveness and efficiency in this core area, leveraging our infrastructure, with 2017 operating costs of CAD 16.86 per barrel, which is higher than Q2 2016, due to the abnormal wet spring conditions in that area. A key component of our long-life, low decline transition is our world-class Pelican Lake pool where our leading-edge horizontal polymer flood is driving significant reserves and value growth as a result of our technical and operational expertise. Q2 2017 production was 46,932 barrels a day, 1% higher than Q1 2017. We drilled nine net wells during the quarter. Eight net wells are now in production. Results have been good with wells currently producing approximately 115 barrels per day per well, in line with our expectations. We've also been able to hold our industry-leading operating costs in Q2 2017 of CAD 6.38 per barrel compared to Q1 2017 operating cost of CAD 6.37 per barrel. As a result of our low-decline, very low operating cost, Pelican Lake has excellent netbacks and recycle ratios. In Q2 2017, our combined thermal properties produced 105,719 barrels a day, down from Q1, primarily due to the planned turnarounds at both Primrose and Kirby South. Our Kirby South project had a very good quarter, producing 34,649 barrels a day, with a very good thermal efficiency SOR of 2.6. Our Q2 2017 operating costs were also excellent at CAD 10.28 per barrel, including fuel and the turnaround outage of 21 days. At Primrose, Q2 production was strong at just over 71,000 barrels a day, as response on the steamflood has been very good, with June production of approximately 32,000 barrels a day. Operating costs of CAD 15.87 per barrel including fuel and the planned 35-day turnaround of processing facilities related to steam outage during the quarter. For Q2, we drilled four net wells. Three are related to SAGD operations of Kirby South, which will come on stream in Q4 after the warm-up circulation period on the wells is complete. Finally, at Kirby North, company's second SAGD project, targeted to add 40,000 barrels a day, continues to be on track as civil and foundation work has begun on the plant site with 120 contractors working, growing to 200 by year-end. Project capital is targeted to be approximately CAD 650 million with steam targeted in late 2019 and first production targeted early 2020. Thermal Q3 production guidance is 118,000 to 124,000 barrels a day and yearly guidance has now been increased based on performance and this is set at 112,000 to 122,000 barrels a day. At Horizon, in the second quarter of 2017, we've produced 190,837 barrels a day, above our nameplate capacity of 182,000 barrels a day as we continue to control our operating costs with Q2 operating costs at CAD 22.09 per barrel, comparable to our record low Q1 operating costs of CAD 22.08. Horizon reliability has been very strong, as our teams have done a great job ensuring reliability and understanding the capacity constraints of the facility with July monthly average at approximately 205,000 barrels a day. Earlier this year, we talked about the potential debottleneck at the fractionation tower, which was identified after the set up of two bay (17:50) as a limiting component and exceeding the targeted capacity of 250,000 barrels a day of SCO. We have now determined the capacity of the VDU and DRU furnaces will also be limiting components. A significant amount of process engineering to determine the capacity outcomes of all critical components of the upgrading operation has been completed at various confidence levels. As a result, it's not prudent to predict with confidence that Horizon would be able to deliver production levels exceeding 250,000 barrels a day of SCO until the company has actually tested the throughput through the facility and natural liability is determined once Phase 3 is operational. The company is confident that increased reliability and Creek capacity volumes will be attainable by the work we're undertaking on the fractionator tower and furnaces during the planned turnaround outage in September, which is planned for 45 days versus the original 24 days, budgeted. The company's annual 2017 production guidance at Horizon remains unchanged at 170,000 to 184,000 barrels a day due to our first half production volumes being so strong. The total additional work is targeted to require capital of approximately CAD 170 million for optimization and reliability enhancements. Phase 3 – it's on track, cost remain unchanged, bringing the total capacity at Horizon to 250,000 barrels a day in Q4 of this year. With Phase 3 on production, we are targeting another step change in operating costs with December targeted to be under CAD 20 a barrel. Horizon project capital is down CAD 350 million due to the deferment of mature fine tailings into 2018 as we now can leverage expertise and learnings between the two sites. Total overall Horizon capital is forecasted to be approximately CAD 145 million lower than our previous 2017 capital guidance. For first month of operating AOSP mine, we have successfully transitioned all people and continued to deliver safe, reliable operation. The first month's production exceeded our expectation, delivering approximately 202,300 barrels a day net, with very good operating cost of CAD 27.50. For the month of July, we averaged approximately 209,000 barrels a day there. While these are great results so far, we're continuing to be focused on improving our reliability, delivering safe, cost-effective operations. With the successful transition behind us, we have now increased our production guidance to 102,000 to 116,000 barrels a day and have reduced our operating cost guidance to CAD 27 to CAD 31 per barrel for 2017. Corporately, overall, our midpoint of production guidance targets has increased despite the third-party issues at Pine River. Our 2017 capital spending is down approximately CAD 180 million, reflective of the strength of our assets and operations. In summary, Canadian Natural is a safe, effective, efficient operator. We continue to realize significant gains in optimizing our production and managing our costs across the company. We will continue to look ways to become more effective and efficient and maintain or enhance our costs in 2017. We'll continue to be focused on safe, reliable operations, enhancing our operational performance. I will now turn it over to Corey for the financial review.
Corey B. Bieber - Canadian Natural Resources Ltd.: Thank you, Jim, for that operations update. We also had strong financial performance during the first half. Net earnings of CAD 1.3 billion were achieved as compared with a loss of CAD 400 million in 2016 first half. This improvement reflects stronger commodity pricing as well as higher production volumes. Q2 2017 also included a CAD 265 million gain on acquisitions and dispositions, principally related to the AOSP acquisition. Adjusted earnings for the first half of 2017 were CAD 600 million as compared with a loss of CAD 750 million for the prior year, again inflecting higher commodity pricing and production volumes. First half fund flow for the corporation was also robust at CAD 3.4 billion, more than twice that recorded during the first half of 2016. This translates to underlying free cash flow after CapEx excluding the AOSP acquisition and dividends of over CAD 1 billion during the first half. Excluding the financing, directly related to the AOSP acquisition, net debt would have decreased by about CAD 1.2 billion. This means that since September 2016 and following the completion of Horizon Phase 2B, fund flow from operations has exceeded CapEx and dividends by over CAD 2 billion. With completion of Horizon Phase 3 targeted for this fall and the acquisition of AOSP completed, the company will make another step in its ability to generate sustainable free cash flow, well in excess of current dividend levels and maintenance CapEx. For the full year and based upon recent strip pricing, we would expect funds from operations to be approximately CAD 1.5 billion in excess of pre-acquisition CapEx and current dividends. This also reflects the approximately CAD 180 million reduction in 2017 targeted capital expenditures. The AOSP acquisition was largely funded by an issuance of 97.6 million shares to Shell, CAD 3 billion bank facilities and CAD 5.8 billion of term debt raised in the U.S. and Canadian debt capital markets, which had an average tenure of approximately 12 years and weighted average interest rate of approximately 3.56%. Underlying free cash flow, combined with adjustments to certain bank agreements, facilitated an increase in available liquidity to CAD 3.7 billion, even after retiring a U.S. note for CAD 1.3 billion during the quarter. Based upon lower current strip pricing and after accommodating for Horizon downtime in Q3 for turnaround and Phase 3 tie-ins, we would expect to exit the year in 2.9 to 3.1 debt to EBITDA range on a non-pro forma basis and debt to book capitalization in the range of 40%. Importantly, looking at first half EBITDA of CAD 3.8 billion and pro forming the impact of the AOSP acquisition from January 1, 2017, we would estimate a pro forma first half EBITDA of approximately CAD 4.5 billion. This would imply a June 2017 pro forma debt to EBITDA of approximately 2.5 times. Delivery of the plan continues and our teams remain focused on growing value for our shareholders. Over the past few months, the teams have done a remarkable job executing a quick, efficient and effective transition of AOSP assets. And the team members we've added from both Shell and Marathon, I thank them for such an excellent outcome. In closing, I believe that Canadian Natural continues to represent sustainable, flexible and balanced E&P company with a high degree of resilience to commodity price volatility. With that, I'll hand it back to you, Steve, for your closing comments.
Steve W. Laut - Canadian Natural Resources Ltd.: Thanks, Corey. As you've heard this morning, Canadian Natural has a unique combination of asset base strength, diversity and balance. Combined with our strategy and competitive advantages, effective capital allocation and a management team that's more aligned with shareholders than any of our peers allows us to deliver the best of all worlds in a long-life, low decline and lower capital exposure assets. Canadian Natural may be the only company in our peer group that has the quality in both asset types, the technical and operational expertise to execute in both asset types, to deliver effective and efficient operations and, importantly, the discipline to effectively allocate capital, to grow production and maximize cash flow. The strength, size and power of both asset types, combined with the effective capital allocation, makes Canadian Natural a very robust company and maximizes cash flow. We strive to balance and optimize the four pillars of cash flow allocation to maximize shareholder value; balance sheet strength, returns to shareholders, resource development, and opportunistic acquisitions. Canadian Natural is focused on enhancing return on capital by ensuring we deliver safe, reliable, effective, efficient operations that minimize our environmental footprint. In Q2, we delivered. Canadian Natural is in a great position and is now more robust and sustainable and the future looks even more robust and sustainable. With that, we'd now be happy to answer any questions you may have.
Operator: And your first question comes from the line of Greg Pardy with RBC Capital Markets. Greg, your line is now open. Please go ahead.
Greg Pardy - RBC Dominion Securities, Inc.: Thanks. Good morning. Couple questions for you. Just given the duration of the turnaround you've got going on at Horizon this year, do you expect to do a turnaround in 2018 or would it be pushed out further than that?
Steve W. Laut - Canadian Natural Resources Ltd.: I think right now we're planning to do a small turnaround in 2018. Greg, we're still working through the plan, but we would probably do that. And that will be likely – we might do some work there depending on the results after we bring on Phase 3.
Greg Pardy - RBC Dominion Securities, Inc.: Okay. Great. And then the second thing is just with respect to AOSP reporting. Will you break that out as a separate line item or will you – are you planning to combine the two for reporting purposes?
Steve W. Laut - Canadian Natural Resources Ltd.: In the short run, we'll break it out. But as it becomes more mature, we'll combine it into the segment as we have for financial reporting, Greg.
Greg Pardy - RBC Dominion Securities, Inc.: Okay. Great. Thanks, guys. Nice quarter.
Operator: Your next question comes from the line of Neil Mehta with Goldman Sachs. Neil, your line is now open. Please go ahead.
Neil Mehta - Goldman Sachs & Co.: Good morning, everyone. Congrats on a good quarter here. First question was related to capital spending. You did lower CapEx here in 2017, but you cited in the release that there is CAD 300 million that was deferred into 2018. So just want you talk about what the deferral was. And then in terms of your prior slide deck, you've talked about 2018 capital at the strip being CAD 4.7 billion or something like that. So just any thoughts in terms of whether this deferral affects the way you think about 2018 CapEx.
Steve W. Laut - Canadian Natural Resources Ltd.: Thanks, Neil. And I think, look, we haven't done 2018 budget yet. That will come up this fall. But our plan is that the capital spending will be in that range of CAD 4.5 billion – CAD 4.3 billion to CAD 4.7 billion, all depending on commodity prices. And so that would have taken account as deferral. I think Tim could probably provide more details on the deferral. It actually makes a lot of sense to do. We're doing here and we're going to gain capital efficiency.
Tim S. McKay - Canadian Natural Resources Ltd.: Yes, Neil. So Tim McKay here, and so to do with the CAD 300 million that we are deferring into 2018, as you can appreciate, we have now two sites that are very close to each other and both sites, very, very strong technical people. And so with this, we're seeing the synergies not only in the mining, the froth, but in the tailings of how we can manage and do things more efficiently across both sites. And so, as we go forward, there is real opportunity to take people's technical expertise and learnings from both sites, combining them, to come with a better plan, better way to execute MFT into 2018. So, we will expect savings out of this, as well as a better plan going into 2018.
Steve W. Laut - Canadian Natural Resources Ltd.: So, this is one of the synergies we anticipated having when we did the acquisition, although I can say it wasn't one that we had identified. So, we think as we go forward, we'll find more synergies between Horizon and Albian as we move forward.
Neil Mehta - Goldman Sachs & Co.: That's great, guys. And then just wanted you guys to comment a little bit on dividend growth. We had a nice dividend bump earlier this year. As Phase 3 comes online, how do you think about resuming or continuing to accelerate that dividend growth?
Steve W. Laut - Canadian Natural Resources Ltd.: Well, Neil, as you know, we're very committed to dividends. We like dividends as a management team and the board of directors. The dividend decision is a board of directors' decision. But we have increased dividends for the last 17 years and the base of those dividend increase is on our robustness and sustainability of cash flow. And clearly when we have Q3 on and up and running, we'll have more sustainability and we'll be more robust, but we can't promise anything. It's a board of directors' decision.
Neil Mehta - Goldman Sachs & Co.: Fair enough. And last question is just relating to natural gas. Appreciate the comments in the prepared remarks, but as we get through the balance of 2017, can you give us the lay of the land as it relates to reliability in terms of making sure that those assets perform at capacity and what gives you confidence that this can be resolved sustainably?
Steve W. Laut - Canadian Natural Resources Ltd.: I think, Neil, this is one of the reasons Canadian Natural owns and controls almost all its infrastructure, because we can control it and deliver the reliability we need as a company to succeed. This is a third-party facility. We have limited control. So it's tough for us to give you a real strong confidence level of what it will look like after this turnaround. They've been making a lot of promises throughout the last half of 2016 and 2017 and have difficulty delivering. I think that's fair, Tim?
Tim S. McKay - Canadian Natural Resources Ltd.: Yeah. And then, looking in the fourth quarter, we're hoping that we'd be up in the 140 million cubic feet per day range. That's about 80% reliability. But so far, we've been very disappointed.
Steve W. Laut - Canadian Natural Resources Ltd.: Just for reference, we run about 94% to 95% reliability on our existing gas facilities.
Neil Mehta - Goldman Sachs & Co.: Got it. If I could sneak one last one then, sorry. Just CAD/USD is certainly strengthened up here. How do you think about that having any impact on your operating costs?
Steve W. Laut - Canadian Natural Resources Ltd.: I think most of our operating costs are based in Canadian dollars. And obviously on – we don't see any change that way, because most of our products are bought here in Canadian. So, it should help if we buy U.S. products but most of those are Canadian purchases. So, I don't think it will have that much impact.
Neil Mehta - Goldman Sachs & Co.: I appreciate it, guys. Thank you.
Operator: Your next question comes from the line of Nima Billou with Veritas Investment. Nima, your line is now open. Please go ahead.
Nima Billou - Veritas Investment Research Corp.: Thank you very much. Just looking at your range for operating costs, Athabasca is between CAD 27 and CAD 31, Horizon CAD 24 and CAD 27. So, Athabasca is about 13% to 15% higher. Yet your quarter over the previous quarter over March 2017, your op cost only went up by 8.7%. Are you able to manage the AOSP at the lower end of the range? And also just wanted some specific initiatives that have allowed you to outperform significantly on Horizon's op cost. You have a CAD 24 to CAD 27 range, but on a consolidated basis you're at the CAD 22. So, just some more clarity on that would be great.
Steve W. Laut - Canadian Natural Resources Ltd.: Okay. I'll answer the first question first. Obviously, we're running at CAD 22 roughly for the first two quarters. Remember we have a turnaround here. That's going to happen in September. And so, that will bring our operating cost on an average basis for the year are up because you have no production but you still have a lot of the cost. So, you get the average. That makes sense? Obviously we work on continuous improvement and continually look for ways to be innovative, more effective and more efficient and take waste out of the system. So, that is ongoing. And what was the first question again?
Nima Billou - Veritas Investment Research Corp.: No, it was along those lines. You're saying that it really is because of the turnaround that will lift the average for the rest of the year, but it seems as if your operating costs aren't going up with the full impact of Athabasca. I know structurally Athabasca is higher than Horizon, but it seems like you're managing both Athabasca and Horizon at the low end of the range.
Steve W. Laut - Canadian Natural Resources Ltd.: Yeah. I think, Tim, you might want to comment on Athabasca. But, remember, we only have one month in Q2, so it's really not a good sample size.
Tim S. McKay - Canadian Natural Resources Ltd.: Yeah. With Athabasca, there is some found turnaround activity in the fall here, September and October. So, as Steve alluded to, we're early in the process. Obviously, we're very focused on reliability and operating cost piece, but it is very early.
Nima Billou - Veritas Investment Research Corp.: And do you see – you see opportunity though for improvements now that the assets changed hands? I mean obviously Shell is a pretty good operator, but you still see an opportunity to bring some best practices from Horizon to Athabasca and further drive down cost?
Tim S. McKay - Canadian Natural Resources Ltd.: Absolutely and actually, there is very good leveraging the people from Athabasca over into Horizon. It is very collaborative. They're working very well together. And I will see benefits – I believe we'll see benefits on both sides.
Nima Billou - Veritas Investment Research Corp.: Great. Thank you.
Operator: Your next question comes from the line of Menno Hulshof with TD Securities. Menno, your line is now open. Please go ahead.
Menno Hulshof - TD Securities, Inc.: Good morning. I just have one question on Horizon debottlenecking. If I remember correctly, you talked about 5,000 to 15,000 barrels per day in capacity adds for something in the range of CAD 70 million. And as of this morning, it sounds like you're talking about scope increase is a cost of something in the range of CAD 170 million and a question mark in terms of what that means for capacity creep. So should we be thinking about an upward or downward bias on that 5,000 to 15,000 barrels a day?
Steve W. Laut - Canadian Natural Resources Ltd.: So, Menno, I think that the big thing here is the 5,000 to 15,000 we talked about before was for the frac tower and that would have been CAD 70 million. And, as you know – so we had to do the full analysis and do all process engineering. We've done most of that. And as Tim explained, this plant was designed for 250,000 barrels a day. And so there is going to be other limiting components in the plant. We know the furnaces are – going to be a limited component. So we're going to do some of that work as well. That increases the scope and gets us up to the CAD 170 million with other miscellaneous. But when we do all the process engineering with all components of the plant, sort of, lined up together, and you have – as you can appreciate, there is sort of ranges of capacity for each component. And then a lot of this is all done with computer simulation. And we just don't have the confidence when you put all those sort of ranges together to say exactly what we're getting creep capacity. I think what we're going to do here, which makes sense, is the most prudent, is actually run that plant once you get it up after Phase 3 is tied in and then we'll see exactly what we can do. But we're setting ourselves up to get that creep capacity. We made that decision to take that extra time now and get it, so that we can do it before – if we got creep capacity we'll capture it before the next turnaround rather than wait for the next turnaround to do it. So that's the plan.
Menno Hulshof - TD Securities, Inc.: Okay. So we should have a better sense of all that, call it, towards the middle of 2018?
Steve W. Laut - Canadian Natural Resources Ltd.: I think we'll see something probably before that, Tim, but by then for sure.
Menno Hulshof - TD Securities, Inc.: Okay. Thanks, Steve.
Operator: And your next question comes from the line of Phil Gresh with JPMorgan. Phil, your line is now open. Please go ahead.
John M. Royall - JPMorgan Securities LLC: Hi. Good morning. This is John Royall sitting in for Phil. So, on CapEx, given the current run rate and given where we are in oil price, just wondering your thoughts around any flexibility into rates to the current guide?
Steve W. Laut - Canadian Natural Resources Ltd.: So, at this point in time, as you see, we've reduced some of the capital spending this year, mainly at Horizon. The rest of the capital budget will probably execute as planned. As you remember, back in 2016, we did have additional capital flexibility that we said we could utilize, if we've seen strength in commodity prices. Clearly, for commodity prices we're seeing now, we're not going to access additional capital flexibility and keep the budget where we are.
John M. Royall - JPMorgan Securities LLC: Great. And can you talk about whether or not asset monetization is currently a priority such that we should think about that as a leverage reduction tailwind over the next 12 months to 18 months or so?
Steve W. Laut - Canadian Natural Resources Ltd.: We continue to look at it. Obviously, we haven't got any perm plans right now and we like the assets we owned and the royalty assets. We do have additional royalty assets that we haven't monetized at this point in time, about 1,000 BOEs a day, but that's something we'll look at here probably the next year.
John M. Royall - JPMorgan Securities LLC: Thank you.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
Mark A. Stainthorpe - Canadian Natural Resources Ltd.: Thanks, Heidi, and thank you, everyone, for attending our conference call. As you heard this morning, Canadian Natural is on track to deliver significant and increasing free cash flow with a successful integration of the Athabasca Oil Sands assets, completion of the Horizon expansion later this year, and continued effective and efficient operations in the remaining areas of our diverse asset base. This enhances our flexibility going forward to effectively allocate capital in a disciplined manner to our four pillars of capital allocation, which are designed to create long-term shareholder value. If you have any further questions, please give us a call. Thank you again and we look forward to our Q3 conference call in November. Good bye.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. You may now disconnect.